Peter Taylor: Welcome, everybody, and thank you for joining us today. I have the CEO, Simon Wensley; and the CFO, Mr. Nathan Quinlin, to talk us through the 2025 financial results. And I see the market looks pretty happy about those today already. So, I'm going to hand over to Simon, and we'll have a Q&A session at the end. Thank you, Simon.
Simon Wensley: Great. Thanks, Peter. Good afternoon, everyone. Thanks for joining. Really appreciate your support. Yes, look, the really solid set of results for 2025. We really were looking to make a step forward from our implementation of our expansion through 2024. Look, we did that with a 9% increase in production. And I guess that underpinned a lot of what happened from a physical point of view. I might just pull up and share the announcement so people can sort of -- if you haven't had a chance to look at it, it's -- I can sort of cover that off as we go. So hopefully, you can see that. Yes. So as I said, look, the production was an excellent underpinning growth year-on-year. And that, of course, underpinned significant revenue growth as well. We had a reasonably robust market through 2025, and that was largely -- we knew that was coming. It was -- the market was getting tighter and tighter through '23 and '24, and we absolutely were getting the expansion funded and implemented in time for what we could see was going to be a firm price environment. So, we were able to take advantage of that and margins over $30 a tonne in that first half of the year. So look, that was very pleasing to be able to get that year-on-year growth. That's underpinned a record underlying EBITDA of $73 million. That's almost 100% improvement from the prior year. And the net profit obviously is underpinned by a couple of other items. But I would -- before I hand over to Nathan, so this is obviously his baby from a financial results point of view. And I would emphasize a really strong endorsement from the auditors with a clean audit report. But the -- one of the strategic things we've talked about as a company was getting to net cash. We got really, really close. We got to $57.5 million of cash against the debt position of $58.9 million, so just over $1 million away from that after having paid down over $23 million of debt. So, that's really important from a balance sheet perspective and an investor point of view looking to us to secure the company. And then giving us -- we'll talk about in a minute, giving us the opportunity for capital management. That was a really, really critical part of the year. But look, I'll hand over to Nathan to run through some of the other elements in the financials.
Nathan Quinlin: Great. Thanks, Simon, and thanks, everyone, for tuning in. Like Simon mentioned, a couple of really pleasing results from a financial perspective there, a very healthy EBITDA number, which is speaking to the quality of earnings coming through at that 6.2 million tonnes amount. And it gives you a sense, I think, of the economies of scale here as well. So particularly around -- and Simon will speak to guidance for 2026 and exactly what we're targeting and it gives you a sense of the economies of scale and the cash generation potential of this asset now with the build capacity in, and confidence around that and our new management operating system that will no doubt deliver those tonnes. So, very pleased to be able to generate that level of EBITDA and free cash flow this year. Like Simon said, we got very, very close to the net cash position, if not for a final shipment, but got very close, leaves us with a little bit of unfinished business, which is not the worst thing as a motivation for a team that's about to get ripping again. So, pleased with that. And then looking forward into some of our other things around like foreign currency, we had a good result with foreign currency this year, much better result than what we had last year, managed to pick our spots fairly well, but most importantly, be able to lock ourselves away up to at least around 75% of our net USD exposure going into 2026 at a very, very healthy around that $0.64, $0.65. So, very pleased to have that locked away. And as you can imagine, particularly as we have this forward outlook and some of the capital management, how important it is to lock some of these things away and control the controllables, and that gives us confidence to be able to be assertive and go out and take the value that's out there. In terms of carryforward losses, also in a good position there, similar to -- and you would have seen this at the half year, not only with the strong results that we had in the half year, but more importantly, the strong outlook that we've got for the business going forward makes us confident and gives us the ability to bring back that previous impairment, bring back that reversal and bring those DTAs or those carryforward losses back onto the books. So, what we have in terms of available carryforward losses is about $184 million in gross terms. So, for the people out there modeling, you would expect to see us start to utilize those all through 2026, and I wouldn't expect us to be in a taxpaying position until probably the second half of 2027. So, a pretty healthy tax shield there for us. Simon will touch on, I'm sure, a little bit more on the buyback. But naturally, particularly with where we see ourselves at the moment, the business outlook that you see also being supported by those impairment reversals and recognition of the carryforward losses makes it pretty clear to us there is a significant undervaluation there, which we're more than happy to invest in Metro at that price. So, I'm very pleased to be able to do that. I'm very pleased to be able to generate some shareholder value through what is otherwise. I'm essentially adding flexibility to the balance sheet through some prudent loan restructuring to make sure that we're balancing out cash flow from a debt servicing perspective and having the opportunity with that flexibility to generate some shareholder value. Thanks, Simon.
Simon Wensley: Yes. Great. Thanks, Nathan, and thanks to you and the team for the hard work over the last few months to pull that all together. Very, very good set of results and well presented. Yes. Look, I think Nathan touched on it. The Board -- and we've been pretty clear about this from the start. I mean, we're about -- this is about bringing -- the strategy is about being bringing the Bauxite Hills Mine asset into fruition. The strategy that we outlined early on in second half of 2022 once we stabilized the business and really put an operational and marketing strategy down was to expand the business, gain those economies of scale and get ourselves to the bottom of the cost curve. So, what we said then in the second half of '22 and then when we got -- went to FID and financing in the first quarter of '23 was that by 2026, we're going to be producing at 7 million tonnes and that we were going to have a cost appropriate to be pretty much down at the bottom end of that cost curve. And what that does in commodity terms is provide us with the flexibility to withstand pretty much any market. But it's not in its own right, and Nathan again touched on this. It's all about also derisking the business in every way we possibly can. And that's been allied with just an expansion. It's not been just more of the same. It's been about creating additional resilience. And that's required some change in technology in our business. So in terms of things like increasing the capability of our hauling fleet in terms of speed, in terms of payload, in terms of the roads that they run on. It's been about the wobbler moving away from vibrating screens to roller screens and bringing Ikamba, our offshore floating terminal, which is capable of operating in much more difficult sea conditions. So, these are the sorts of things allied with just an expansion here that have been underpinning this growth. And of course, some of those things don't come quickly or easily, but they're effectively all in place. And that target now of getting to that sort of 7-plus million for 2026 is what this is all about, and the economies of scale will continue to flow towards that cost. But it's also about -- Nathan has touched on derisking the business through the foreign exchange part, and that's obviously well in the money. At the moment, something else that's well in the money is all of our freight contracts. And so the ability to reduce risk for the investor by taking prudent positions in the market to be able to then go about the strategy of implementing these things. So, our freight now is probably AUD 2 to AUD 3 in the money for 2026 versus the prevailing Capesize freight rates, which have been going up pretty much for all of the second half of last year. And of course, in a cost curve, where a cost curve drives industry structure, like it does in most commodities, all that's doing is pushing the cost of delivery of West African bauxite, which is at the margin of our business is pushing that up and up and up. And so we've got -- we're much closer -- even if we were exposed to the spot market for freight, we would still be in a much better position, but we're even in a better position because of the contracted freight, the 2- to 4-year contracts that we've taken out at the beginning of last year to underpin our delivered business. So there's a whole bunch of, I guess, aspects to this that derisk the business. And when we look at that profile with the Board and what we delivered in 2025, but more importantly, what's the outlook for 2026, even the market will be what the market will be, but the ability for us to effectively guarantee that we're going to make margins here moving forward, irrespective of what's happening in the market is an extremely important thing for the Board to consider. And they've been very clear that they're not going to sit on cash. We got to that net cash position. We were able to do some of this other derisking of our cost structure. We put a new team together to be able to drive the improvements that we are making. And so all of that plays into a confidence in the future that has underpinned the buyback here. So we're, of course, working on growth. Growth is, of course, part of our business, but we're not in the mode of -- and certainly not in the game of piling up a war chest. And if we have a growth opportunity, we will bring it to market. It will have to stand on its own 2 feet, and that will be the signal for us to move forward. And whilst Bauxite Hills is producing cash, that will be part of our capital management strategy, and this is just the first step. Nathan, did you just want to touch on any other aspects of the buyback at this point?
Nathan Quinlin: Not necessarily, just otherwise setting the context. But in terms of how we'll execute, that will be an on-market buyback, the terms of which have been disclosed in the last release. So, what we're targeting is 5% retirement of shares on issue over a 12-month program.
Simon Wensley: Okay. And there'll be more details to follow on that in the very, very near future, so in terms of execution of the buyback. So, look, I think at that point, Peter, we might just pause and see if there's any other -- any questions out there.
Peter Taylor: Absolutely, Simon, and thank you as well, Nathan. A couple of questions have come through so far. And with the rerate now occurring, which we see on the screen today and assuming the company is on target tonnes achieved in financial year '26, a strategic acquisition would be good or a dividend? Do you see either occurring?
Simon Wensley: Well, look, I guess what I would hope is I see both occurring. And so I've just said -- I've just talked about the cash generated from Bauxite Hills. In the absence of that -- of a very live and current growth option, we will continue to pay that back to shareholders within the risk appetite of the Board. So, that's certainly the case. And like I said, we're absolutely working on some growth options. Look, it wouldn't be prudent to be more specific about that at the moment, but there are -- we're certainly well down the track on a couple of growth options. But like I said, we will bring those to market. We'll be very clear about what they can do for the business and why we're going after them. And indeed, then I suppose, get the feedback from the market. So look, that's certainly the strategy.
Peter Taylor: Thanks, Simon. Second question. One for Nathan. Where does the financial assurance paid to the government sit on the balance sheet?
Nathan Quinlin: Yes, sure. Sure. So on the balance sheet, the financial assurance amount that is sitting within the financial provisioning scheme will be sitting within the other financial assets that you'll find in the non-current assets on our balance sheet. So that's -- and I think in our previous webinar, we mentioned that, that is a priority over the next couple of months for us to explore how we get that sort of back into our own bank account where we can put that to use rather than sitting there. Som plenty of options for us to look into.
Peter Taylor: Thanks, Nathan. Another one for -- actually probably more of an operational and financial one combined. How confident are you that calendar year '26 guidance can be achieved? Have you seen issues from calendar '25 now resolved?
Simon Wensley: Yes. So it's a great question. Look, we've gone back and looked in detail at 2024 and '25, so everything since we've been bringing the new flow sheet into action. We've had a look at the things that have pulled us back from delivering higher tonnages. The critical thing here to say is that in terms of the feasibility study, everything -- every part of our flow sheet at the scale that we had set has now delivered on its capacity individually. So, when I look at the clearing and stripping fleet, we had a few issues with that. But we saw at the end of the year that it had -- it was capable of delivering. We just had to plan and execute it better. Our mining and haulage, that has demonstrated the capacity that we need. The screening -- ROM and screening area, that has demonstrated the capacity that we need. The tug and barge -- the barge loader and the tug and barge system, which is basically an integrated system have demonstrated the capacity that we need and the transshippers have certainly demonstrated individually and together the capacity that we need. So the thing now is plugging all of that together, right? And that's where I think outside of a couple of, I might call externality events. And if I look back at '25, for example, the Easter weather event, which caused our channel to collapse on the edges was -- pulled us back certainly by 150,000 tonnes to 200,000 tonnes. And we unfortunately were not able to load the last vessel at the end of December, which was another 170,000 tonnes. So, look, absent those 2 factors, which were largely externally driven, we would have achieved 6.5 million, 6.6 million last year. And then from 6.5 million to 6.6 million to sort of 7 million or 7 million plus, it's really about us not achieving more through each event, any one of our parts of our flow sheet, but actually reducing the variability, plugging them together and allowing them and making them work in a less variable way. So, effectively reducing the bottom quartile performances through that flow sheet. And we have pulled that apart, put it back together again. We've got a different -- I guess, a different structure now in terms of internally about how we're going to go about that, a very strong, I guess, technical and planning group under Nathan, a new short-run operations strategy under Paul Green at the site, who will be effectively looking only forward 2 or 3 ships in terms of where they operate. So, really sort of segmenting that short-run execution, really focusing on that short-run execution and the reduction of variability with the medium-term technical and planning side, so providing that service to the site. So, we're very hopeful, confident that, that is a better way of looking at this. We've spent a lot of time over the last 6 months collecting data from every part of our business. We've been feeding that and analyzing that, and feeding it into a new logistics and operations flow sheet and analysis. That is driving us. Those are coming out with 7-plus million tonne outputs. And so we are certainly driving that. And through the implementation of what we're calling a new management operating system that will be really the processes, the routines, the KPIs that drive that, the ability to sort of look at variants and how that works through. That is how we are about to start our operating season. So, we're expecting to be roughly back around middle of March. As soon as we have some firm [ lakes ] for the first vessels, we'll announce the target for operational restart. We've already got work going on, for example, in the channel. So we can't control the weather, but we can certainly control the impact that the weather has. And so what we've done, as already mentioned, in our processes with the roller screen wobbler. And in Ikamba, we've already reduced the impact that weather has on some parts of our flow sheet. That channel issue already -- we routinely maintain that channel twice a year. So, we had already done that in March of last year before that weather event. In the October maintenance of the channel, we have already widened the channel from 60 to 70 meters. Therefore, if we got an identical event to what happened last year, then the sites slumping into the channel would have minimal effect because we've effectively widened the channel. And this year, we're also going to investigate whether we do have approval to go deeper in that channel with that maintenance work. And so we're going to be looking at trying to create some additional depth or -- which effectively translates into barge capacity, tonnes on barge and in terms of hours per day where we're not affected by tide. So, that's certainly one of the underpinning initiatives this year where we're again trying to go back and look at what affected us last year. And that's been through, for example, the application of a different type of tide with a different type of play with a different approach, and we've had really good results on that in the second channel maintenance activity from last year. So, look, apologies for the very long answer, but I hope that gives an insight to the work that's gone in and the sort of focus that we've got on lifting those bottom quartile shifts, bottom quartile days, bottom quartile weeks up into that level to increase the averages that run through the flow sheet.
Peter Taylor: Thank you, Simon. Assuming the wet season holding costs are typically $20 million for the quarter, with the Ikamba dry docking, is that number still about right? And also, can you please let us know when the Ikamba is expected to return to service?
Simon Wensley: Nathan, do you want to take that one?
Nathan Quinlin: Yes, absolutely. Absolutely. Yes. So in terms of the Ikamba dry docking, so the cost of that dry docking of the cash outlay would be in addition to the typical $20 million cash burn that we see over that period. From a timing perspective, naturally, these costs in a shipyard are driven -- very milestone driven. So, we actually wouldn't expect to see probably 75% of the actual cash burn for that dry docking to actually come through the statements until around sort of April and May and with final payments. So it's fairly spread out. From an overall earnings perspective, our dry docking because most of these work program is statutory in nature, we actually provide for those costs in advance as well. So the full cost of this dry docking is otherwise included in the current set of results that you're seeing. So the impact of that dry docking won't impact our margins.
Peter Taylor: Thank you, Nathan. And while you're there, isn't there a strong argument that share buybacks represent better value to shareholders than dividends do until Metro is paying tax, i.e., fully franked dividends?
Nathan Quinlin: Yes, I think so. That's certainly our view. With all else being equal, I think that's certainly the more tax-efficient strategy. But even then outside of that, when we're looking at what is ultimately a strong -- what we consider significant undervaluation of the current share price, it makes the buyback all the more obvious strategy, I think.
Peter Taylor: Thank you. And Simon, you touched on potential growth options, but how do you view your progression of Metro's EPMs to further support Bauxite Hills?
Simon Wensley: Yes. So, optimizing Bauxite Hills continues to be our primary focus, so absolutely the primary focus of the team. The additional resource -- we have about 40-odd million tonnes of resource that is sitting around our current pits. So, that is effectively the easiest resource to get to. We're currently doing more work on that in terms of analyzing the quality of that bauxite. Last year, if you go back and look at our AGM presentation, I talked a little bit about one of the initiatives is that we're looking at screening. We're looking at effectively upgrading -- bauxite upgrading. I mean, this is upgrading of Weipa Star bauxite. It's not a new thing. It's Rio Tinto at Weipa, as I experienced in my career with Rio has been going on effectively for more than 60 years there. So, it's a pretty well-known pathway. However, as we do at Metro, we are not looking at things just as a copy and paste. We're looking very carefully and creatively at the best value way in which to do that. Rio Tinto effectively wash all of their product, which obviously drives a huge amount of additional mining. It drives additional capital, additional cost and they have to manage a massive sort of tailings or fines management program, and they lose about 30%, 35% of the ore. So, we're very, very conscious that, that kind of big bang solution is not probably suitable for Metro. So, we're looking very carefully at individual areas of our resource base of that. And we're also looking at it, what we call a dry screening opportunity where we don't need the use of water. We don't need much lower cost opportunity, obviously, requires the ore to be probably only applicable for about 6 months of our operating season, but we've had some really good initial results from our dry screening trials as well, and we're also looking at selective wet screening. So that not only -- so the first stage of that is the resources that sit around our current sort of pits and reserve. The next stage are resources that sit somewhat distant to that and the nearest ones are north of the river. We've got some exploration tenements, which we started to explore at the end of last year. There's a bit more work to do there. The actual drilling programs are quite straightforward, relatively low cost. We don't have to go down very far to hit bauxite, obviously. So it's then the analysis of that. And particularly if we're looking at the application of screening or so into those leases, obviously, that takes a bit longer again. We've also got existing resources that are not recognized in the resource statement sitting at the old Cape Alumina Pisolite Hills project. So that was -- that is effectively south and east of where we are. So, that -- one of the antecedent companies of Metro is Cape Alumina. They had a project called Pisolite Hills. That was affected by the recognition of a National Park. Those resources are still -- though a proportion of those resources are still on our books and they sit in the same sort of orbit as the Bauxite Hills Mine and just require a kind of access and barging strategy to be able to get to them. And then we've just -- we've been in -- we have some resources very close to the Arakoon, the town of Arakoon down in the southern part of the Weipa bauxite plateau. We've been discussing access to those tenements with [ Manoch ], the local body corporate that represents the traditional owners there. And so we've been progressing access rights to that. And so we do expect subject to agreement to those conduct and compensation agreements to be able to access those tenements there. And one of those tenements was added last year in a deal that we did with Prophet Resources, which is an adjacent tenement to the one that Metro owns. So, we've now sort of doubled the potential size of that exploration opportunity. So, we're still continuing down exploration. Our firm intention is to add resources and reserves to our current resource base. And some of that may be, though, subject to the trials that we're doing this year on the upgrading of dry and wet screening.
Peter Taylor: Okay. And finally, Simon, an update on the bauxite market. How do you see things currently, perhaps an outlook? And do you see a return to stability from what was a volatile price market last year?
Simon Wensley: Yes. Good question. I mean, I might start at the top level, which is sort of with aluminum. So the -- those following the aluminum value chain will have seen the aluminum price after a dip early in the year, coinciding with the initial, I guess, Trump Liberation Day tariffs. We've seen a very strong recovery of aluminum. And that's being driven by a few things, right? So, there was 74 million tonnes of aluminum produced in the world last year, but it basically wasn't enough to satisfy the demand. And so we're in deficit as China -- China grew by about 2% in its production last year. But again, that wasn't sufficient to put into the market, and they've been importing more aluminum. And the aluminum market at the moment because of these tariffs and also by -- because of the sanctions against some Russian entities is somewhat structurally -- how can I put it? I guess there are structural restrictions in that aluminum market, which are driving outcomes and pricing that is really destined for even further growth. So, you've got pockets of demand that can't be met by local supply. They are then affected by tariffs. So that's the U.S., for example. The price of aluminum in the U.S. is actually almost double that LME price. So if you look at the LME price of over $3,000, it's between $5,000 and $6,000 per tonne because of not only the tariffs, but just the huge deficit that exists in the U.S. market, and they don't have any fast way of getting access to that product. So, there's some fractures and issues in the market. But above all, the demand for aluminum is growing. And so even with this sort of like temporary -- the tariffs clearly caused a dip in demand. And even without a recovery in the China building and construction market, you're still seeing significant 3%, 4% growth in demand for aluminum, and that is just not being able to be supplied out of the industry at the moment. And so China is now very close to its production cap. And so where is that aluminum going to come from? So, predictions are continuing for deficits this year, and that obviously must mean price rises. And the other thing that's driving that growth other than the standard electrification, vehicles, transportation, aerospace, et cetera, is the fact that copper price is going hard as well, and aluminum is a substitute for copper in many applications. So, there's a whole bunch of reasons why. And that's -- so overall, a great environment in the aluminum space, which means that growth in alumina production is required, and that means growth in bauxite -- growth in bauxite demand. Now, when you then break that down, okay, we're in the Asia Pacific. I mean, a lot of that growth is happening in the Asia Pacific. At the moment, though, there is -- as you mentioned, Peter, there's been a bit of a volatile ride. There were some very, very high prices at the end of '24 for bauxite into '23 -- into '25, and then that's come down a bit. Things stabilized a bit, and there's been a bit of a dip, a couple of dollars down again since the end of the year. But the alumina market -- so we supply into that alumina market. It is a bit oversupplied with -- and there is a shake-out occurring, particularly in China, with older plants closing, new plants coming online. But all those new plants are dedicated to imports. So, what's good about that shake-out is you're seeing -- we're seeing alumina plants inland in China looking to curtail and close. And that they've been largely based upon domestic Chinese bauxite and the new plants coming on the coast are 100% dedicated to imports. And so what we're going to see then once this shake-out has sort of worked its way through, we're going to see increased demand for traded bauxite in the Asia Pacific. India is coming along on the rails as well. The Middle East is also planning additional refining capacity. So look, we do see that. And Indonesia has -- is growing its whole chain, the smelting chain, the alumina chain and the bauxite sort of side of things. But I see that largely being contained within the sphere of Indonesia. So Indonesia, I don't think we're going to see a lot of leakage of either alumina or bauxite out of that market. So, look, I think there's a bit of volatility around, but I would just go back to my comment earlier about industry structure, which is as long as the West Africans are supplying into the Asia Pacific and as long as they continue to be 2/3 or 2 months of freight travel away, which I don't think the geography of West Africa is going to change anytime soon, then Metro is in a structurally advantaged position irrespective of whether we have a tight or less tight market to be able to supply into the Asia Pacific at low cost. So, all of the things we've been driving for are going to continue to be relevant in terms of this market structure.
Peter Taylor: Thanks. That was a pretty comprehensive coverage of that question. I just got one little one here. We mentioned perhaps in previous webinars discussion of the Kaolin resource or the Kaolin mineralization at Bauxite Hills. Is there any further exploration or interest in that particular mineral there?
Simon Wensley: Yes, there is. We've now extracted and tested the product in a few different places in a few different markets. The Kaolin product that we have on a raw basis is of good enough quality to export. Kaolin though, it's a bit more of a fragmented end-use market. So, there's -- Kaolin goes into paints, goes into paper, goes into ceramics, goes into rubber, goes into fiberglass, goes into a whole different -- a huge number of different applications. Each application has a slightly different quality, I guess, specification, has a physical -- the physical state of the kaolin, the fineness of it, et cetera, are very, very different. So it's not a big bulk market that one can understand in a fairly easy brush stroke, but we are continuing to explore that market. I'm not particularly interested in doing a lot of work on Kaolin in terms of upgrading on-site. Skardon River is a great place to run bulk commodities. Whilst we have the bauxite value chain, it does allow us to piggyback the Kaolin on the back of that large-scale value chain and flow sheet, does mean we can then get raw Kaolin to places very, very cheaply. And I guess that's the model that I'm trying to progress. And that does then require, obviously, partners at the other end who are going to take that product and either distribute that or to work on it, whether it's sort of upgrading it through, washing it or by grinding it or by doing something for the particular segments that the Kaolin market needs to drive. But I guess, for us to move the needle there, we'd be look -- we'd be wanting to move 300,000 to 500,000 tonnes of Kaolin to be able to kind of move the needle. I mean, that's quite a lot of Kaolin for the Kaolin market. It's a much, much smaller markets. So the answer is, yes, we've done more work. Yes, we've done more drilling. Yes, we've done some studies on mining. We've done some test work on our flow sheet to be able to prove that it can be dug up. It can be moved. It can be screened. It can be placed on barges and through our transhippers. So, that work has been done. It's really now more market than market side of things and can we see a value proposition for exporting effectively what is a raw bauxite that needs further work done on it.
Peter Taylor: Thank you, Simon. Thank you, Nathan. That concludes our questions here today and a good summary of what looks like a pretty positive report and that the market seems to like it, too. So if there are any other further questions, please e-mail them in to Peter@nwrcommunications.com.au. I'll make sure Simon and Nathan get them. And this is being recorded. So, we'll make this available for distribution later on. Thank you, gentlemen. Thank you, everybody, for joining us.
Simon Wensley: Thanks, everyone.
Nathan Quinlin: Thanks.